Operator: Good day, and welcome to the Bazaarvoice Fourth Fiscal Quarter and Full Year 2013 Financial Results Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Brian Smith, Vice President of Finance for Bazaarvoice. You may begin.
Brian Smith: Good afternoon, and welcome to today's conference call to discuss Bazaarvoice's financial results for the fourth fiscal quarter and fiscal year ended April 30, 2013. I'm joined today by Stephen Collins, our Chief Executive Officer; and Jim Offerdahl, our Chief Financial Officer. Following prepared remarks from Stephen and Jim, we will have a question-and-answer session. Please note that we are simultaneously webcasting this call on our Investor Relations website at investors.bazaarvoice.com. The earnings release with our results for our fourth fiscal quarter and fiscal year 2013 was issued earlier today and is also posted on our Investor Relations website. Please remember that certain statements made during this call, including those concerning our business outlook and guidance, growth plans and opportunities, potential acquisitions, sales execution and our ability to capitalize on our opportunities, are forward-looking statements. Forward-looking statements are subject to a number of risks, uncertainties and assumptions that are described in our SEC filings, including the Risk Factor section of our Form 10-K for the fiscal year ended April 30, 2012, our Form 10-Q for the fiscal quarter ended January 31, 2013, and our Form S-1 as filed with the SEC on July 12, 2012, and other documents that we may file with the SEC in the future. Should any of the risks or uncertainties materialize or should any of our assumptions prove to be incorrect, actual results could differ materially and adversely from those anticipated or implied in these forward-looking statements. In addition, forward-looking statements are also based on currently available information, and we undertake no duty to update this information. Additional cautionary language regarding these forward-looking statements is further described in today's press release. Finally, some of the numbers that we will discuss during this call will be presented on a non-GAAP basis. Today's press release, together with the accompanying tables, contains the calculations of these non-GAAP financial measures and a full reconciliation between each non-GAAP measure and its corresponding GAAP measure. I would now like to turn the call over to Stephen.
Stephen R. Collins: Thanks, Brian, and thank you for joining us today. I'd like to start by thanking and congratulating the Bazaarvoice team for delivering a solid quarter of performance. The team did a great job in several important ways that are fundamental for our success that I will review on today's call. But first, a quick rewind. Last quarter, I outlined our key objectives for the fourth quarter of fiscal 2013 and for fiscal 2014. These are: to dramatically increase global new account acquisition for not only our core review solutions but also Media and Connections; to expand our leadership team with exceptionally talented and experienced professionals to complement the existing leadership team; to invest aggressively in growth opportunities for our network, including Connections, Media, data analytics and global expansion into emerging markets; and to migrate our clients to our new technology platform that will unlock a number of opportunities around network connectivity, data, content management and analytics; and to win our litigation with the Department of Justice. We made great progress on each of these priorities during the fourth quarter, excepting that we are not in control of the DOJ outcome. With regard to our DOJ litigation, all I can say is that we remain set to go to trial in September, and that will run for several weeks. We are vigorously pursuing our defense, and we look forward to having our day in court. On to operations. I am delighted to report that the build-out of our executive leadership team is now essentially complete and this was, in my view, the most important accomplishment for the quarter. In the last 6 months, we brought on our President, Gene Austin; Executive Vice President of Client Services, Marc Cannon; Chief Financial Officer, Jim Offerdahl; and General Manager of EMEA, Cedric Pech; along with a number of new country leaders and other key additions to the senior team. I'm very optimistic that we have the right team of experienced, growth-oriented and results-driven leaders to ensure we achieve our potential as a company. With regard to the other objectives I just outlined, first and foremost, I explained last quarter that our #1 focus for growth and for building our shopper network audience reach was all about winning new accounts globally. On previous earnings calls, I also explained that we had lost focus on this important business driver for several quarters going back to fiscal 2012. Our company is now fully aligned behind winning new accounts globally, and the entire team has responded extremely well in the last 2 quarters, in my view. So far, here's what we've accomplished. In the second half of fiscal 2013, we sold, that is booked, approximately 170 new enterprise clients as compared to approximately 120 in the first half. So we've been able to pick up the pace in the second half, and our current pace is quite a bit better than fiscal 2012. As a reminder, we report new clients only after they are launched and we began recognizing revenue, which is typically 90 to 120 days after signing a contract. But I'm sharing these sales metrics to provide some additional color on our selling efforts that haven't flowed through fully to our active client count. In the second half of fiscal 2013, we launched 111 clients, which as you can tell is lower than the number of the new clients booked that I just mentioned. As such, our backlog of booked but unlaunched clients has grown more recently on both a dollar basis and a client basis. During the fourth quarter specifically, we added or launched 58 new clients and lost 29 for a total of 29 net new clients, up from 22 net new clients in the prior quarter. We ended Q4 with 1,208 active enterprise clients, with annualized revenue per average enterprise client of $142,000, the same as the prior quarter. Great new clients added during the fourth quarter include Carrefour, Goodyear, Haier Electronics, Waste Management and Navistar International, to name but a few. Our active enterprise client retention rate in the fourth quarter was 97.5%, generally consistent with recent quarters. In addition to our enterprise clients that all use our core ratings and reviews technology platform solutions, we ended the fourth quarter with over 1,400 network clients, up from approximately 1,250 network clients as of the end of the third quarter. Due in most part to another strong quarter of additions of Connections clients that I will discuss in more detail in a moment. Network clients do not use our enterprise ratings and reviews solutions and include Connections, Express, SMB and Media clients. Likewise, our recently acquired shopper media business continued to perform well, growing strongly year-over-year as we continue to develop the market for shopper media, an opportunity we believe is very important and complementary to our overall strategy. On to Connections. During the fourth quarter, we also added approximately 170 new Connections clients and ended the year with over 600, and we now have 27 retailers as Connections hubs. In April, and as planned, we announced review response that allows Connections clients to directly respond to consumer views, while the Q&A capability is positioned as a free service to bring brands into the network. Notably, we also think Connections will also prove to be an important lead generation driver for our ratings and reviews solutions. We're very pleased with the momentum for Connections as we were able to achieve this result in the last 3 quarters, which highlights the value we are providing our brand clients through connectivity. Our primary focus for Connections in the near to medium term will remain onboarding clients into the network to achieve critical mass as opposed to revenue. As a result of our efforts in the quarter, I'm, again, pleased to report that we achieved revenue that exceeded our guidance. We achieved $43.3 million in total revenue, representing a year-over-year growth rate of 38%. For the full year, we achieved $160.3 million in total revenue, representing a year-over-year growth rate of 51%. Now what about our addressable market globally and where we stand as a company. From a client mix perspective, we have approximately 400 brand enterprise clients and serve 126 of the Fortune 500 and 42 of the Fortune 100. Today, we also work with approximately 800 online retailer enterprise clients around the world, including 277 of the IR 500 and 105 of the Internet Retailer European 400. These metrics grew favorably during the fourth quarter and fiscal year. eCommerce is extremely dynamic, and the new IR 500 rankings really illustrate this point. We just updated our client metrics based on these new rankings. For us, 22 of our current clients fell off the list, while 10 of our current clients moved onto the list, and we added 3 new IR 500 clients during the quarter. The information also really shows the incredible growth in eCommerce. According to Internet Retailer, for the top 500 online retailers in the U.S., online retail sales grew 20% from $181 billion to $216 billion. Collectively, our clients within the IR 500 account for over $115 billion of 2012 U.S. online retail sales. These same clients have approximately 2 billion monthly visits to their websites. And altogether, we estimate our total global client base represents a consumer audience of approximately 400 million unique visitors per month to their websites. Our evolving network provides significant efficiencies to the marketplace into our clients. For example, our umbrella of protection around authenticity and propriety of content is a huge value add for consumers, and the marketplace generally, to reinforce trust and to ensure that the shopping experience is great for consumers and the reputations of brands are protected. To give you an idea of the scope of the products and brands that are sold through our clients, we have identified over 50,000 unique brands and suppliers that sell tens of millions of unique products through online retailers that are current Bazaarvoice clients in our shopper network. The majority of this list of brands and suppliers are not currently Bazaarvoice clients. This is a vast and complex data set that requires lots of analysis and scrubbing to achieve our desired level of accuracy, granularity and connectivity, but it is clear that we have thousands and thousands of brand accounts that we can connect to the Bazaarvoice network, whether they use our ratings and reviews SaaS solution or they sign up for Connections or Media solutions. The statistics I just reviewed in terms of consumer audience, retail sales and the number of products and brands is illustrative of the potential we see in building out our shopper network to amplify the voices in the marketplace. Today, we're in the earliest stages of building out our shopper network by connecting all those voices for the benefit of all market participants. So when we think about growth, we not only think about revenue growth, but also the growth in the number of consumers, brands and products in our network and the points of connectivity we are creating, because these are the drivers of future revenue growth. So we are creating the very market we are addressing by building out our network and unlocking what we call the commerce graph: getting brands to connect to their shoppers at scale across the online retail channel is a new capability for the marketplace and businesses must adopt and implement new processes as a result. That means we have to evangelize and educate the marketplace on the value of engaging consumers in a new, authentic way, along with how to do so effectively. We're all learning together in this regard, and we believe we are pursuing a very exciting mission. Another important objective in the next several quarters is the continued rollout of our new technology platform that not only provides great new capabilities, but also the platform will help us serve our clients better and at a lower cost over time for both them and us. Our technology innovation efforts are very important on multiple levels to unlock our network, to lower cost for everyone, to enhance even further our authenticity controls and to extend our platform to the world of developers and partners that see opportunities to innovate for their clients through our network. Jim is going to cover fiscal 2014 guidance detail as we are now embarking on a new fiscal year, but I'd like to set the stage for the numbers by addressing our outlook more generally. First, I'm extremely optimistic about our prospects and excited about the future right now. My conviction about our opportunity has only deepened since I began serving as CEO, and the recruitment of a new executive team was a really inspiring process to get validation from all the great candidates I met along the way. Our entire team believes in the value we create for the marketplace, and we are extremely gratified to have earned such a wonderful set of amazing client relationships. We believe that the key to our longer-term sustainable revenue growth is all about winning new accounts, as I've said many times and thus, is an important leading indicator to assess our future prospects. It is our objective to push towards doubling the pace of new account acquisition as compared to fiscal 2013 and building a scalable operational foundation to support such growth. As a result, our annualized revenue per average active enterprise client is likely to come down as we had a large amount of new clients at initial pricing that is lower than our company average. However, I view this as healthy and consistent with our historically successful land-and-expand approach, evidenced in our cohort analysis and one that portends more growth opportunity down the road. We are making, and we'll continue to make, significant investments in global new account acquisitions. Today, I believe we now have the largest and most experienced sales team from top to bottom as compared to any time in the company's history, and we are seeking to add to the team in terms of size and experience. We will continue to invest in R&D to evolve and scale our core platform while developing new capabilities for media, data and network-oriented solutions like Connections. Some of these efforts are still in their earliest stages. And I continue to believe we are in what remains a very nascent, dynamically competitive and evolving marketplace for our solutions. Thus, we need to be bold as a company and try lots of new and different things to continue to create value for our clients as they adapt to all the various secular trends around consumer, social and shopping behavior. Some things will work, some won't, but experimentation and smart risk taking is essential for innovation-driven growth in our market. We've had an incredible year in so many respects in fiscal 2013, and we look forward to the opportunities in front of us in the new fiscal year. I'm extremely proud of the entire team and again want to thank all of our team members around the world for their hard work and dedication to serving our clients and building a great company. Now I'm going to turn the call over to Jim to go over the numbers. Jim?
James R. Offerdahl: Thank you, Stephen, and thank you to everyone who joined the call today. As a reminder, we are on a fiscal year calendar ending April 30. But today, we are reporting results for our fourth fiscal quarter of 2013 and all accounting periods discussed will be fiscal. Unless otherwise noted in my remarks, I will cover our non-GAAP operating results to correlate with adjusted EBITDA as a measure of operating profitability, including discussions of cost of revenue and operating expenses. Investors should refer to our press release for a complete overview of our financial results, including the reconciliation of GAAP to non-GAAP operating results, comparative information to prior periods and key operating metrics. I will first provide commentary on our fourth quarter and full fiscal year 2013 performance, and will then conclude with our outlook for the first quarter and full fiscal year 2014. We achieved total revenue of $43.3 million in the fourth quarter, up 38% year-over-year, exceeding the high end of our guidance range of $42 million to $42.8 million. This year-over-year growth rate was helped by our 2 acquisitions during the year. So on a pro forma basis, our year-over-year growth rate was 22%. We achieved SaaS revenue of $42.3 million, up 35% year-over-year and up 22% on a pro forma basis. Net media revenue was $1 million, up 46% on a pro forma basis. Note that we acquired Longboard Media in the third quarter. Net media revenue was down sequentially from $2 million in Q3 as the majority of our media revenue occurs then, consistent with heavier online shopping traffic during the holidays. Adjusted EBITDA for the fourth quarter was a loss of $6.9 million and in line with our guidance of a loss of $6.5 million to $7.5 million. Our EBITDA loss increased sequentially from Q3 as our sales commissions increased due to a good bookings quarter and as our Media revenue declined sequentially due to the seasonality that I noted a few moments ago. Our non-GAAP net loss per share was $0.12, better than our guidance of a loss of $0.13 to $0.14. We achieved gross margin of 69.8% in the fourth quarter, up 130 basis points from the same period last year and our highest level since becoming a public company, as we continue to gain economies of scale with our SaaS solutions, including leveraging technology to lower our costs and improve our processes and as we benefit from higher-margin Media revenue. Sales and marketing expenses were $21.7 million and represented 50.2% of revenue this quarter as compared to 43% in the same period last year and 46.5% in Q3. Sales and marketing expenses increased in both absolute dollars and as a percent of revenue as a result of the increase in sales commissions, including impacts from year-end accelerators, and an increase in headcount in our Media business as we invest ahead of the holiday season later this year. R&D expenses were $7.8 million, representing 17.9% of revenue this quarter as compared to 19.9% in the same period last year, as we continue to increase our innovation investments on our new platform, offset somewhat by proportionately more capitalization of software development cost this quarter. G&A expenses were $7.7 million and represented 17.7% of revenue this quarter as compared to 16.8% in the same period last year as we increased our investment in people and services related to the 2 acquisitions, Sarbanes-Oxley, audit and also sales tax equity administration. Acquisition-related expenses, which we exclude from our adjusted EBITDA loss and non-GAAP net loss per share, were $7.4 million in the fourth quarter. Of this, approximately $7.1 million was related to our ongoing lawsuit with the Department of Justice and related shareholder derivative litigation. As we noted on our last call, the DOJ trial is set for September. So we expect to continue to incur expenses on this matter and such expenses will continue to be recognized as acquisition-related expenses and excluded from adjusted EBITDA and non-GAAP loss per share. Also excluded from our adjusted EBITDA loss and non-GAAP net loss per share this quarter were $0.4 million for contingent consideration relating to the Longboard Media acquisition earnout, and $2.2 million for a nonrecurring estimated liability relating to taxes and related items from the exercise of certain stock option grants. We ended the year with 783 employees, up 143 from last year as we increased our investments in R&D, sales and services and also as a result of our 2 acquisitions. We grew our number of quota-carrying sales reps selling our core solutions by approximately 40% in fiscal 2013 and plan to continue to add sales reps in fiscal 2014 at a similar pace. We achieved annualized revenue per average employee of approximately $220,000 in the fourth quarter, an all-time high, up from $201,000 last year and $217,000 in Q3. In addition, our annualized growth profit per average employee improved to approximately $153,000, up from $138,000 last year and $150,000 in Q3 as we continue to gain operating leverage on that line. Now let me run through a summary of our financial results for the full fiscal year 2013. We achieved total revenue of $160.3 million, up 51% from fiscal 2012. This year-over-year growth rate was helped by our 2 acquisitions during the year. So on a pro forma basis, our revenue growth rate was 36%. We achieved SaaS revenue growth of 48% to $157.4 million and net media revenue of $2.9 million for the year. And as a reminder, we purchased Longboard Media in Q3. Gross margin continued its steady climb in 2013 to 68.2%, up 60 [ph] basis points from 2012. Adjusted EBITDA was a loss of $19.2 million, which was better than the $22 million to $23 million loss the company guided at the start of the year, despite the 2 subsequent acquisitions, both of which were negative EBITDA positions at time of purchase. I will get into the fiscal year 2014 guidance in a few minutes, but wanted to let you know that we expect our adjusted EBITDA to improve by a fair amount during 2014. Our non-GAAP net loss per share in 2013 was $0.31 compared to a loss of $0.34 in 2012. Now let's turn to the balance sheet. We ended the year with $96 million in cash and cash equivalents and had no debt. Our DSOs were 60 days, down from 65 days at the end of the third quarter. Our deferred revenue increased again to $56.9 million as compared to $45.6 million a year ago and $52.9 million in the third quarter. And while we are pleased with the increase, we continue to believe measuring changes and deferred revenue is not a good proxy for new bookings during the quarter as we typically have a varying mix of monthly, quarterly, semiannual and annual billings from both new and existing clients, with average upfront billings of less than one year. Further, given our 3- to 4-month implementation cycle between the booking of new clients and the date at which we -- that client -- those new clients are launched and begin recognizing revenue, the value of any new bookings closed during the quarter may not be reflected in deferred revenue until subsequent quarters. As a result, total contract value of new bookings is just not discernible in the deferred revenue. From a cash flow perspective, cash used from operations in the fourth quarter was $9.1 million, of which $5.6 million are related to the DOJ case and related shareholder derivative litigation. CapEx was $2.8 million in Q4, of which $2.2 million was for capitalization of developed software as we continue to innovate on our new platform. For the full year, we used 2 -- $21.8 million in cash flow from operations, of which $6.1 million related to the DOJ case and related shareholder derivative litigation. I'd like to now finish with some thoughts regarding our financial outlook. As we've indicated in previous calls, new account acquisition during fiscal years 2012 and 2013 was less than desired and not enough to sustain historical revenue growth rates. For example, our recent overall revenue growth rate -- rates have declined to 38% in Q4 and 22% on a pro forma basis. Now this less-than-desired new account acquisition also resulted in a relatively low fiscal year 2013 new business cohort from which to upsell in 2014. And as we enter fiscal 2014, we will no longer have the benefit of the acquisitions in our overall growth rate. As a result, despite [Audio Gap] bookings and new client acquisitions in 2014, we are not expecting our overall revenue growth rates to improve. So for fiscal year 2014, we expect revenue to be in the range of $184 million to $187 million, up 16% year-over-year at the midpoint of the range. Note that we are expecting Media revenue to double on an as reported basis and grow 40% to 50% on a pro forma basis. Going into fiscal 2014, we are reallocating significant resources to our growth opportunities, while at the same time gaining operational efficiencies in other areas. So given the significant growth investments we are making in sales and product development to leverage the network effect of our retail and brand clients, and given the leadership changes we have made recently, we are optimistic that if we execute as planned in fiscal 2014, including continuing to ramp our sales force, increasing the pace of new account acquisitions to build a more robust cohort and continuing to grow our Media business, we would expect our revenue growth rates to begin to reaccelerate during fiscal year 2015. We plan to provide updates for these growth initiatives over the course of fiscal 2014 in our quarterly earnings calls. As I noted, we are gaining operational efficiencies. So despite the growth investments we are making that I just noted, we expect our fiscal year 2014 adjusted EBITDA loss to improve measurably to a range of $11 million to $13 million. Non-GAAP net loss per share is expected to be in the range of $0.23 to $0.27, based on 73.7 million weighted average shares outstanding. Now turning to guidance for the first fiscal quarter of 2014. We expect total revenue to be in the range of $43.5 million to $44.5 million, up 23% year-over-year at the midpoint of the range. We expect adjusted EBITDA loss to be in the range of $3.5 million to $4 million. Non-GAAP net loss per share is expected to be in the range of $0.06 to $0.08, based on 73.7 million weighted average shares outstanding. So with that, I'll turn the call over to the operator for questions.
Operator: [Operator Instructions] And we'll take our first question from Jennifer Lowe with Morgan Stanley.
Jennifer Swanson Lowe: Maybe, Stephen, going -- at the outset of the call, you outlined some of the initiatives that you focused on in fiscal '14 -- in '13, so just building out the management team and reorienting the sales force around new customer acquisition. Is the goal for '14 to just stay steady as she goes on those initiatives? Or are there any new areas of focus that you're planning to turn to in fiscal '14? What should we be looking for, for you over the next few quarters?
Stephen R. Collins: I think steady as she goes is the best way to answer that. I mean, there's a lot of things on that list. Focusing on expanding our client base globally takes a total company commitment, and I want to ensure the team is, in many ways, singularly focused around that objective. Obviously, we're rolling out our new platform. There's a lot of amazing things that we can unlock in doing so, and that's a challenge as well. So I think we have an ambitious plan, and don't really want to change it all the time. And we want to stay really focused on executing to the best of our ability this year, and I think we've got a team in place to do it now.
Jennifer Swanson Lowe: Great. And looking at the metrics that you gave earlier, and it was helpful with the contrast between the net new customers signed in the quarter versus what's actually going to the reported customer count in terms of go live. But you talked about the 170 new customers that were booked in the second half of the year and obviously, that's a big focus of a lot of the changes you've made. Where do you think that, that number can go? Do you have any aspirations in terms of where you'd like to see new customer count be once everything is kind of running as it should be running in the sales force?
Stephen R. Collins: Well, in the -- in my remarks, I said that our sort of first step goal, our objective, is to double the pace. So the implication of that is that if we added, let's say, 250-ish client this year, if we're on that kind of a pace, that you'd want to get to a 500-client pace. I think we began making that transition in the second half. But the levels we're shooting for are let's get over 400 and get over 500. So love to see that double in this fiscal year.
Jennifer Swanson Lowe: Great. And then just one last one from me. You mentioned growing sales capacity 40% last year, looking for a similar rate this year. Just comparing that to the overall rate of hiring more on a quarter-over-quarter basis, but the overall headcount has been more flattish on a quarter-over-quarter basis. Actually, it looks like it may even be down a little bit. What's sort of the delta there in terms of the heads that you're adding on customer-facing roles verses overall headcount not growing as much?
Stephen R. Collins: Well, I think it was either last quarter or perhaps 2 quarters ago, I mentioned that the total number of employees of the company wasn't likely to change a lot over the next couple of quarters as we reallocate and focus on sales and marketing away from other areas, and that played out exactly as we expected. So we actually were adding quite a lot of sales capacity, as you can tell now. I think my remarks at the time were misinterpreted as saying we were pulling back, and it was really more about focusing on growth. As to the areas that -- where we've been able to scale, gross margin continues to expand. There are large number of employees in that group. So we've been able to get them doing some different things and focusing them more on selling. We're at a bit of a plateau right now in R&D, although we expand -- plan to expand that, but we really didn't need to add a ton of people there in the second half. And of course, we want to continue to scale on G&A. It's not client-facing and that should provide some fuel to invest in the sales and marketing team. So we want to just get more and more people in the field, more and more people touching clients and fewer and fewer people who aren't client-facing. And generally speaking, that's what we accomplished to a good degree in the second half.
James R. Offerdahl: Yes, and this is Jim. Let me pile on there just a little bit. I mean, we've demonstrated increasing gross margins over the last number of quarters and plan to continue to do so as we gain the economies of scale. And so as we improve our margins and get economies of scale in G&A as well, that enables us to invest more on the sales and marketing and R&D line, at the same time improving our EBITDA. So it's pretty major -- or it's a reallocation of resources is what we're doing actually.
Stephen R. Collins: I hope that answered your question.
Jennifer Swanson Lowe: Yes, that was great.
Operator: And we will now go to Greg Dunham with Goldman Sachs.
Gregory Dunham: A couple of questions. I guess following up on that gross margin dynamic, because I do want to ask that. You have shown that to expand pretty dramatically. Is -- how much of that is due to Conversations 2.0? And when we think about the new platform launch, what is the tail of those kind of benefits to the gross margin line? When should we expect them?
Stephen R. Collins: Well, the majority of margin expansion initiatives to date have been more in around process and improvements to our moderation system. So we have really 2 major platforms. One, of course, is the ratings and reviews platform that our clients use but also, behind the scenes, the platform that we use to moderate and structure all that content. And since every piece of content is moderated, there's a marginal or variable cost associated with it, and we've continued to push that cost down and expand margins there as a result. We think we still have a good amount of room to run to lower implementation cost as the rollout of our new platform accelerates, especially over the course of this year. So really not a lot of that improvement has come from that area yet. So that should help continue to support margin expansion for the foreseeable future.
Gregory Dunham: No, that's exactly what I was hitting on. And then I guess the follow-up question on -- with the ramp in customer adds or the hope to ramp, you also mentioned that the pricing per customer would come down. Is that just the initial dynamic? Is the profile of these new customers that you add going to be any different than the overall base? And how should we think about that over time?
Stephen R. Collins: Yes, it's really mostly a scope issue. If we look back at our history and look at our cohorts or the class of 2007, 2008, et cetera, when you go in and you give them a bite they can digest and you deploy the solution, that tends to lead to more successful client growth going forward. And so we want to get back to that more healthy approach and really focus on that to accelerate our ability to acquire clients. But it is also true that as we look globally, whereas we had a very extreme focus, I would say, on the larger enterprise clients in the past, as we have come to understand our opportunity to build out a network, from our perspective, we want as many folks in the network as we can possibly convince to join. And so through the acquisition of PowerReviews, we're now in the small -- the SMB market and the mid-market as well, and we want to just get better at that and also expand globally as well. And the price points and new geographies are likely to be less, which has been true in Europe and in my experience, on the Web generally. Other geographies don't have the same price points necessarily that the U.S. has as they adopt technologies more slowly.
James R. Offerdahl: And Greg, this is Jim. Just a little pile on there. As eCommerce goes into some of these smaller accounts, we'll follow as part of that as well.
Operator: And we will now go to Nandan Amladi with Deutsche Bank.
Nandan Amladi: Going back to the reference you made about adding -- continue to add sales capacity up 40% year-on-year, but you're also planning to double the number of customer adds. What approach do you have to -- how differently do you have to approach that process this year with this, relatively the same number of people, essentially?
Stephen R. Collins: Well, obviously we've got more people. You've got to ramp them. Some of the additions that -- we've got a fire alarm in the building that seems to be starting, so I apologize to everyone. This is -- I'm just going to keep going. So in any event, the people we added this year are still ramping in many cases, and we expect them to scale up and ramp up more in the fiscal year. The key, well, is really about focus, really adjusting our compensation plan, our management team and our processes around new account acquisitions. So that's what we're going to do differently. And I apologize if that answer was not discernible with the background noise of the fire marshal.
Nandan Amladi: That's okay. I'll save it for later.
James R. Offerdahl: It was only a test. That's a good thing.
Stephen R. Collins: I think we're now in a good place in terms of our process. We just completed 2 weeks ago a week-long global sales training, and that was fantastic. Really got everybody dialed in on messaging, on explaining the value proposition, worked with a great partner in force management. So everybody was really excited and pumped coming out of that, and I think we've got great alignment right now and we understand the message and the marketplace and the disciplines around -- that will drive success.
Operator: And we will now go to Brendan Barnicle with Pacific Crest Securities.
Brendan Barnicle: I wanted to drill down just a little bit more on the operating expenses going forward. So based on the guidance, it sounds like you're expecting operating expenses to be down sequentially Q4 to Q1. And do you expect that to be sort of equally across all? It sounds like sales and marketing is going to continue to be a priority. And Jim, would we see even a sequential decline in G&A despite being in Q1 because I know for a lot of companies, Q1 you typically see at least flat or even an increase Q4 to Q1?
James R. Offerdahl: Yes, I won't go into specific lines, but obviously, we expect our revenues to continue to grow as per our guidance. So on a percentage basis, it's a combination of margins and just a variety of the other lines. I mean, we are -- part of our reallocation of resources was to spend less money on a go-forward basis on non-people costs and concentrate more of our investments on people costs, and I think you're seeing part of that in our guidance for Q1 and for the full year.
Stephen R. Collins: Yes, I mean, there are -- as you might expect, we're entering a new fiscal year, and we took a hard look at various areas of spending and whether or not we thought it was smart spending. And the team really stepped up to the challenge of looking at their budgets and finding ways to drive more operating leverage while allocating more resources to client-facing roles. And as you also note, we've expanded revenue per employee pretty significantly over the last several quarters, and we'd like to see that fall to the bottom line and think we can do that with just better disciplines around how we spend our money.
James R. Offerdahl: Yes, Brendan, this is Jim. To pile on, from a sales and marketing standpoint, in Q4, our sales and marketing popped a fair amount because of commissions and year-end accelerators. And obviously, we're going to have more commissions in Q1, but it's not a year end. So I think we'll see an impact of that in Q1 as well on the sales and marketing side.
Brendan Barnicle: That's helpful color. Stephen, one of the things we heard at the user conference is customers who were thrilled with the existing product, but they were still a little bit on the fence on the newer products. What's sort of changing in the marketing strategy to try and move that installed base more closely over to the new products?
Stephen R. Collins: Are you referring to our new platform or other products that we might have that are incremental?
Brendan Barnicle: More the incremental products, but I think -- but the platform as well, but more the incremental.
Stephen R. Collins: Well, first, the platform is essential to our innovation efforts. What we can accomplish for our clients in terms of analytics and connectivity on the new platform is vastly superior. And I think as we educate the client base, and we're actively doing that through things like the summit that you attended, they're seeing these benefits. We will continue to build more case studies. But the truth is that even with our core solution, there's still a lot of education and evangelism that has take place in the market as CMOs try to figure out how to incorporate word-of-mouth content into their marketing strategies, and that's kind of the same story as it ever was. Our focus remains on adding new clients and building out the network more so than it does looking for add-on solutions at this time. With that being said, we've got a lot of opportunity in what we have to sell, and I think the sales team is -- understands our solutions better and is going to continue to do a better job getting out there and explaining the benefits. So I'm pretty confident that we're going to continue to improve in this area. But I want to reemphasize that the sales team knows very clearly that their job #1 is new account acquisition on our core solution, which is the foundation of the value that we provide to our clients, and all good things in the future emanate from success on that front.
Operator: And we will now go to Mark Murphy from Piper Jaffray.
Mark R. Murphy: Jim, you noted that sales commissions increased in the quarter due to a good bookings quarter. I realize you don't go into detail on this, but can you provide any more color on that, maybe what do you attribute the bookings strengths to? Were bookings above plan? Were they up year-over-year? Just is there anything else you can provide us with there?
James R. Offerdahl: Yes, you're right, Mark. As you know, we don't really talk about -- much about bookings on a quarterly basis, certainly not on a quantitative basis. Qualitatively, we did have a good quarter. We had a couple of significant deals that came in and which is not -- and that doesn't happen every quarter. And so that was helpful. I think the focus on new client adds as well, that Stephen has portrayed in the last couple of quarters, is helping our bookings performance as well. And on a go-forward basis, we continue to add even in the fourth quarter -- we've been adding sales reps throughout the year, so that's helpful as well.
Mark R. Murphy: Okay. Great. And then Jim, do you have any inclination to take a stab at a multiyear revenue growth rate trajectory that we should or could expect for Bazaarvoice? Just if you take into account the pipeline, the new personnel, the new strategies, the attempt to improve the cohort in the coming year, is there a thought that the multiyear revenue growth rate would be getting back above 20%?
James R. Offerdahl: At this point, Mark, we're not guiding anything beyond 2014. We had the midpoint of guidance at 16% for 2014. But we did say that if we execute like we think we can in fiscal 2014, our revenue growth rates should reaccelerate up, and then it's a question of how we execute thereafter. We don't believe that there's a market limiter here. This is about how we go after this market, the go-to-market strategy and execute.
Stephen R. Collins: The only thing I'll add to that, Mark, is I mentioned in my remarks that eCommerce is growing 20% per year. The kinds of things that we're doing, where we're positioned, there are a lot of exciting growth opportunities even though it's still a nascent, new market. And so I think conceptually, I certainly feel comfortable saying that looking at growth rates in excess of 20% is where we ought to be. And again, I think the opportunity is there and we just have to execute successfully and we're just going through this transition year. So without specifically putting a number on it, sure, I think revenue growth rates above 20% are achievable and desirable.
Mark R. Murphy: Okay. Stephen, I wanted to ask you as well, do you have any inclination to make any material change in how you price the products? For instance, perhaps you want to align more directly or more tightly with traffic growth or volumes of ratings interviews, or just in general try to align more closely with the value that you're adding to clients. I think the sense we've gotten is the value you're adding to clients in some cases is orders of magnitude more than they're paying you for the services. Or do you fundamentally believe at this point that your pricing mechanisms are fully optimized and that everything is as it should be?
Stephen R. Collins: Well, I sure wouldn't say that they're fully optimized and everything is as it should be because the market is changing and evolving. And there's a tremendous amount of competition selling into the CMO and competition for budget. We've also said -- I've also said many times that however we ultimately arrive at a price for a client, it's a performance-based solution. And if we're not adding value and generating a positive ROI for a Chief Marketing Officer or head of eCommerce, that pricing will adjust, and does. But the question that you're asking, and we talked about it before in terms of variable pricing or volume-based pricing, we continue to conduct a controlled limited set of experiments around variable pricing, but it's really I would characterize it more as an R&D effort and has driven several platform-level and data-level innovations, some of which are complete and some of which are still in process, simply to give us the option of looking at these models if we feel they are appropriate. But I think from an investors perspective, investors should not expect material drastic changes to how we're going to market in terms of pricing, certainly not as we contemplate FY '14 guidance. I don't think that would be prudent, and -- but the more we understand about the value we create and the better we can illustrate that for our clients, that -- I think the happier everyone will be and the more aligned we'll be with the success of those that we serve.
Operator: [Operator Instructions] And we will now go to Karl Keirstead with BMO Capital Markets.
Karl Keirstead: I wanted to focus for a second on the 29 net new clients, and I've got 2 questions. One is, is that a clean number? Because I remember last quarter, the plus 70 number was skewed by some, I think it was 48 adds from a small PowerReviews unit. So I just wanted to make sure that, that 29 is clean. And then secondly, Stephen, did I hear you say that of the clients lost, there were 22 from the IR 500 list? Maybe I misheard you, but if that's right, it seems...
Stephen R. Collins: No. So I knew that was a -- I was trying to explain the dynamic nature of the IR 500. We didn't lose any of those clients. They just aren't in the IR 500 anymore. It was a testament to the fact that, that list is not like the Fortune 500 and that there's a significant amount of fluidity to it. And it's interesting because another great way to grow our business is to find clients who are going to be IR 500 clients or IR 1000 clients in the future. It's a really exciting marketplace. So that's what we were pointing out there. So the 29 clients is a clean number. It's pure organic as far as I'm aware. Obviously, the gross number of adds, I believe, was 58 that I mentioned there. And our retention was 97.5%, which was very consistent with history. So on balance, it was solid. We'd like to add a lot more new clients and think we're heading down the right path in that regard as the fiscal year will unfold.
Karl Keirstead: Okay. Great. And then if I could ask a follow-up to Jim. Jim, in fiscal '11 and '12, I know that was before you arrived, Bazaarvoice was tracking at operating cash flow breakeven. That dynamic changed this year. As we think about operating cash flow for fiscal '14 in the context of your adjusted EBITDA loss improving, can you give us any flavor for what operating cash flow might look like this coming fiscal year? Any guidance?
James R. Offerdahl: Yes, Karl, we're not giving specific guidance on that. However, if you look historically how our adjusted EBITDA and operating cash flow track with one another, it should be relatively similar to that, barring any major balance sheet changes.
Stephen R. Collins: Yes, I mean, obviously, the DOJ spending is quite material both in terms of our GAAP loss and in particular, cash flow. Trial's in September. So we hope that, that won't be a factor as we get beyond that. But yes, I think tracking -- as EBITDA tracks, as EBITDA improves, you should expect cash flow to improve.
Karl Keirstead: Okay. Solid numbers, given that I know you had a lot going on this quarter.
Stephen R. Collins: It was a busy -- very busy quarter. It was, Karl.
Operator: And it appears there are no further questions at this time. Ladies and gentlemen, this does conclude today's conference. We thank you for your participation. You may now disconnect.